Operator: Ladies and gentlemen, good morning, and welcome to the Select Energy Services, Inc. Fourth Quarter and Year End 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. If anyone should require operator assistance during the conference, please signal the operator by pressing star then zero on your telephone keypad. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Garrett Williams, Vice President, Corporate Finance and Investor Relations at Select Energy Services, Inc. Please go ahead.
Garrett Williams: Thank you, operator, and good morning, everyone. Appreciate you joining us for Select Energy Services, Inc.'s conference call and webcast to review our financial and operational results for the fourth quarter and full year of 2024. With me today are John Schmitz, our Founder, Chairman, President, and Chief Executive Officer; Chris George, Executive Vice President and Chief Financial Officer; Michael Skarke, Executive Vice President and Chief Operating Officer; and Mike Lyons, Executive Vice President and Chief Strategy and Technology Officer. Before I turn the call over to John, I have a few housekeeping items to cover. A replay of today's call will be available by webcast and accessible from our website at selectenergyservices.com. There will also be a recorded telephonic replay available until March 5, 2025. The access information for this replay was also included in yesterday's earnings release. Please note that the information reported on this call speaks only as of today, February 19, 2025, and therefore, time-sensitive information may no longer be accurate as of the time of the replay listening or transcript reading. In addition, the comments made by management during this conference call may contain forward-looking statements within the meaning of the United States Federal Securities Law. These forward-looking statements reflect the current views of Select's management. However, various risks, uncertainties, and contingencies could cause our actual results, performance, or achievements to differ materially from those expressed in the statements made by management. The listener is encouraged to read our annual report on Form 10-K, our current reports on Form 8-K, as well as our quarterly reports on Form 10-Q to understand those risks, uncertainties, and contingencies. Please refer to our earnings announcement released yesterday for reconciliations of non-GAAP financial measures. Now, I'd like to turn the call over to John.
John Schmitz: Thanks, Garrett. Good morning, and thank you for joining us. I am pleased to be discussing Select Energy Services, Inc. again with you today. Overall, 2024 was another record-setting year for Select both operationally and financially. I'll start by highlighting some of our big wins over the past year, walk through the general outlook for 2025, and discuss a number of large strategic opportunities. I'll then hand it off to Chris to speak to the fourth quarter and future outlook in a bit more detail. During 2024, we transported, recycled, and disposed of record water volumes. This resulted in 26% annual revenue growth and strong 62% growth in annual gross profit from our water infrastructure segment. A new all-time high performance for consolidated adjusted EBITDA and adjusted EBITDA margins and strong cash flow from operations. With this strong operating cash flow in 2024, we were able to fund a diverse capital allocation strategy throughout the year including expediting our organic growth CapEx plans focused on the Water Infrastructure segment, executing nearly a dozen small bolt-on infrastructure acquisitions, increasing our base dividend by 17% during the year, while also funding our maintenance capital to support our market-leading water services and chemical technologies company. With a clear primary focus on our water infrastructure growth strategy, we continue to sign up big organic infrastructure projects with large acreage dedications. During 2024, we signed up eight major new organic infrastructure projects under long-term contracts encompassing about $150 million of growth capital to be spent across 2024 and 2025. We also added more than a dozen additional bolt-on contracts to the existing assets in the portfolio as well. These initiatives combined with our recent acquisitions will provide strong continued growth for the segment in 2025 and well into 2026 as new projects come online and we continue to enhance the broader networking and utilization potential of our infrastructure assets. Operationally, in 2024, we moved more than 1.5 billion barrels of water, a market-leading scale and breadth that continues to grow every day. We continue to grow our recycled volumes, far outpacing our annual sustainability-linked credit facility targets, while disposal volumes and overall systems use utilization increased materially as well. Through our organic expansion and acquisitions in water infrastructure, we've increased the percentage of our profitability coming from our production-weighted revenue as demonstrated by a 43% increase in produced water disposal volumes year over year. Overall, we built a very strong portfolio of contracts over a relatively short period of time. We now have more than 2.5 million acres under long-term area dedication, encompassing an estimated 1.3 million acres of existing leasehold supporting a combination of disposal, pipeline, and recycling solutions. Even with this pace of growth, our new project potential backlog continues to grow and currently sits at a record high. These dedications cover acreage in the best operational basins across the US and provide a significant backlog of future well inventory, produced water volumes, and captive future revenue and cash flow opportunity. I truly believe the future financial outlook for Select is the strongest it has ever been. From an organic project standpoint, I was very pleased to get several additional long-term contracts to the finish line in the fourth quarter. For example, in the fourth quarter, we were able to add a substantial new 124,000-acre dedication underwriting a new greenfield recycle project in the Central Basin Platform area of the Permian Basin. The anchor tenant for this facility is an existing recycling customer and one that Select has successfully developed multiple recycling and water infrastructure facilities in both the Midland and Delaware basins. This customer's loyalty is a testament to our operational and technical capabilities and it reinforces our position as a trusted partner to help our customers add resilience to their development plans and achieve their operational, financial, and stewardship goals through value-add solutions. Additionally, in the fourth quarter, we signed a fifth-year agreement for another new recycling facility and 20-plus miles of incremental pipeline network build-out that further expands our existing Northern Delaware water network and infrastructure in Lee County. This contract adds another 31,000 dedicated acreage to the system, bringing our total Northern Delaware position to approximately 600,000 combined dedicated acres in Lee County alone. To further support our Northern Delaware network, in January, we acquired an existing six-mile produced water pipeline with 45,000 barrels per day of throughput capacity from a key customer. This line is integrated directly into our newest expansion that I just spoke about and will further commercialize the broader network with additional customers. As we plan longer term, we also acquired approximately 2,100 surface acres of largely private ranch land during the fourth quarter in the Northern Delaware and Eddy County, to the southwest of our current Lee County system. As a surface resource owner, this asset can provide us with high-margin recurring revenue streams on a standalone basis. More importantly, it positions us for further westward expansion for future recycling and infrastructure development and long-term network integration across the entire Northern Delaware Basin in New Mexico. Our continued system build-out and expansion across the Northern Delaware Basin integrates increased storage, recycling, transportation, and disposal, providing enhanced commercial water balancing flexibility that will benefit our customers' development plans and support the increasing complexity and intensity for both their completions and production operations. With a very strong backlog of additional greenfield, brownfield, and bolt-on infrastructure projects and acquisitions, Select's Water Infrastructure segment is established as one of the fastest-growing infrastructure franchises in the industry. Accordingly, we expect to see annual water infrastructure segment revenue and gross profit to continue to grow by 15% to 25% during 2025 and further growth ahead into 2026. Before we get to our water service and chemical technology segments, I'd like to speak to our views on the energy markets for 2025. Overall, we expect a fairly steady commodity price environment across both oil and natural gas markets, with some potential medium-term upside to the natural gas as LNG demand continues to grow. US lower 48 activity levels are expected to modestly reduce compared to 2024 overall and hold flat to modestly higher relative to the second half of 2024. Even with these activity levels, we expect our chemical technology segment to drive solid revenue growth in 2025 and maintain our expectations that we can improve the margin profile of both the chemical technologies and water services segments this year. Our water services business remains critical to our overall success, and we must drive continued free cash flow, improved margins, and a strong return on assets out of this segment. We fully require both our water services and chemical technology segments to convert more than 70% of their gross profit into free cash flow, providing an ongoing source of capital funding for our water infrastructure growth initiatives and expect that to continue into 2025. However, as we look for ways to further improve our margins, stabilize our cash flows, and enhance our returns within water services, we will continue to evaluate the segment for underperforming non-strategic areas of potential consolidation during 2025. If there are yards or service offerings that we determine cannot achieve our required objective over the course of 2025, we will look to redeploy those personnel, assets, and potential capital resources into other regions or parts of the business that can. These efforts combined with the modestly declining macro activity outlook should drive water services revenue modestly down on a year-over-year basis while gross margins before DNA ultimately improve across the period. Looking across the entire company for 2025, driven primarily by the continued growth in our Water Infrastructure segment, we firmly anticipate seeing stronger year-over-year adjusted EBITDA growth during 2025. We also expect to pull through at least 30% of this adjusted EBITDA into free cash flow after accounting for all maintenance and growth CapEx and should provide good optionality for capital allocation including incremental shareholder returns, additional organic or inorganic investments, or additional strategic initiatives. We are always reviewing additional strategic growth initiatives that we can capitalize on our expertise. At Select, we have spent more than 15 years developing water resources and solutions for the energy industry. While we have more recently pioneered and successfully capitalized on the transition toward produced water recycling and large-scale network development, Select has a core legacy of sourcing, contracting, storing, and moving fresh water to where it is demanded. I have always believed that this diversified expertise has a potential application outside the traditional energy sector. And to that end, we are excited to announce the further advancement and diversification of our water infrastructure platform with the expansion of our Colorado operations, in the municipal, industrial, and agricultural water markets. In February 2025, we committed to an initial $62 million investment alongside multiple strategic partners to consolidate one of the largest senior water rights and storage portfolios in the state of Colorado along with rights to cover 16,300 acre-feet of source water per year as well as complementary water storage assets. This is the equivalent to an annual volume of approximately 125 million barrels per year or 350,000 barrels per day. In addition to Select's operational capabilities, our key partners in this investment bring substantial experience investing in municipal and industrial water, real estate, and energy projects. And in addition to capital, our partners are also contributing a combination of existing water rights, storage assets, and real property. These water resources are well-positioned to serve high-end growth markets in Colorado and the mere aggregation of these very senior and strategic water rights into a single consolidated portfolio provides a substantially enhanced economic opportunity. As we commercialize the asset, we expect to convert additional storage options and construct approximately 16,000 acre-feet of reservoir storage that only further enhances the value and the deliverability of our significant water resource. This is a natural extension of Select's existing capabilities and expertise that provides our shareholders unique exposure as a land and resource owner to high gross margin, long-term contracted, and growing cash flows. While this type of opportunity will have longer paybacks compared to our current water infrastructure investments, we believe this investment fits well within our infrastructure growth strategy and will be a foundational part of our future business. With this opportunity, we become a land and resource owner of very strategic senior water rights and storage infrastructure that will be critical to the commercial, industrial, and social expansion of Colorado in the coming years. Over the next couple of years, we intend to sign several ultra-long-term supply agreements with municipality, industrial, or agriculture customers, and by doing so, provide low-risk long-term increasing cash flows that both our shareholders and the Colorado stakeholders can count on. The very long-term nature of municipal water contracts would introduce an increased term to our contract portfolio with agreements in the space often providing for up to 50 years of dependable lease water income. We look forward to growing alongside local economies and providing a highly needed water solution through a project with great long-term returns. Select strives to operate our business at the intersection of good stewardship and good economics, and we are proud to build on that value with this project. To conclude, I firmly believe in the infrastructure growth strategy we have undertaken recently. I believe this strategy best positions Select to drive long-term shareholder value. And, ultimately, I believe that Select remains uniquely positioned in the competitive energy landscape, and now the municipal industrial sector to advance the integration of water and chemical technology solutions with high margin, long-term contracted infrastructure. I am very excited about what the future holds for Select and look forward to further executing on this vision during 2025 and into 2026 and beyond. At this point, I'll hand it over to Chris to speak to our financial results and our 2025 outlook in a bit more detail. Chris.
Chris George: Thank you, John, and good morning, everyone. As John mentioned, 2024 was an important year for Select across many key annual financial metrics. This includes generating $1.5 billion of consolidated revenue, 53% gross margins in water infrastructure, $258 million of adjusted EBITDA, $235 million of cash flow from operating activities, and finally, $78 million of free cash flow. These financial results enabled us to invest strategically in the business alongside providing $38 million of total returns to shareholders across dividends and buyback over the course of the year. We were able to raise our quarterly dividend by 17% while finishing the year with a strong balance sheet that we have further enhanced subsequent to year-end. In January of this year, Select entered into a new five-year sustainability-linked credit facility, including $300 million of revolving commitments and $250 million of funded term loan. This facility provides a very attractive financing cost to capital within the traditional bank markets, which I believe will help support enhanced equity returns over time. Select has always maintained a disciplined approach to the use of leverage, which has benefited us during times of cyclical stress in the market. And we firmly expect to maintain this discipline in the future. However, Select's ongoing transition to a growing infrastructure-based production-levered full lifecycle water solutions company provides us with a chance to enhance our capital structure in support of the significant opportunities we have ahead of us. Even with the fully funded term loan, we maintain a net debt to EBITDA leverage ratio at closing substantially below one times, ensuring we sustain a strong conservative balance sheet with enhanced overall liquidity. This new facility also reinforced our overall commitment to good stewardship through the renewal of our two primary sustainability-linked KPIs, growing our recycled produced water volumes, and maintaining a market-leading employee safety record through a total recordable incident rate well below industry averages. Supported by tremendous operational performance and technical advancement in recent years, and substantial ongoing capital investment, we set a new five-year target to recycle more than 400 million barrels of produced water annually by 2029. More than eight times the original target we set up since surpassed back in 2022. More than two and a half times our 2024 results. Increased demand for water recycling by our customers has led to significant investment in numerous facility expansions. While our infrastructure networks that balance water supply and demand across customers and regions have been instrumental in allowing our customers to manage their produced water waste streams while maintaining consistent, dependable, and geographically optimized access to demanded completions water. This increasing need for water recycling and our ability to reliably deliver these critical volumes is exemplified by our recent announcement from earlier this month highlighting that we recently reached 50 million barrels of lifetime volumes recycled at our second facility in partnership with Oxy. Importantly, we were able to reach this milestone in half the time it took to get there with our first Oxyback facility. These networks will continue to see enhanced utilization and water balancing capabilities and make these expansions highly accretive. As John noted, between our acreage and area dedications, we have a master portfolio of over 2.5 million acres of produced water handling and opportunities. Overlaying the best geology in the United States. Northern Delaware facility expansion we executed in the fourth quarter and the new Central Basin Platform Recycling project highlight examples of the types of projects we expect to continue bolstering our dedicated acreage portfolio with, We added another 150,000 acres under dedication the fourth quarter alone. The dollar-weighted average contract duration of our 2024 executed contracts was over ten years in length. And when looking at the overall contract portfolio, given the majority of our acreage dedications were only just put in place over the past 24 months or so, there is still a tremendous amount of long-term captive revenue opportunity within the scope of our portfolio. Well, many of these contracts do have completions market activity exposure to them. The overall returns are underwritten conservatively and we pride ourselves on ensuring we are underwriting not just the customer, but the geology and the geography as well. In 2024, we reached our goal of 50% or greater gross margins in water infrastructure well ahead of schedule. Which led to gross profit growth of 62% on the year significantly outpacing our strong revenue growth of 25% for the year as we transform our company. And accordingly, we maintain our expectation of delivering 50 plus percent gross margins during 2025 as well as driving the gross profit contribution from our water infrastructure segment greater than 50% of the consolidated gross profit for Select, by the end of 2025. Underpinned by more contracted high-margin revenue streams. Water Infrastructure maintained a strong 55% gross margin before D and A during the fourth quarter. Alongside a more modest 6% revenue decline during the period. This revenue decline was substantially less than the 10 to 15% decline we potentially anticipated as certain key assets that we plan to take offline during Q4 were ultimately taken offline much later in the quarter than originally anticipated. We work with our customers to support their development activities late into the quarter. While this delay was a benefit to Q4, these asset conversion efforts combined with the continued system expansion requirements, driven by multiple new recent contracts and acquisitions supporting our Northern Delaware build-out, will result in a further deferral of certain water infrastructure revenues until the second quarter. Resulting in a low single-digit percentage revenue decline during the first quarter. However, with a number of ongoing projects set to come online during the second quarter, and the anticipated strong growth in water infrastructure's performance over the full course of 2025, we firmly anticipate a strong second half 2025 run rate significantly exceeds the first half. We expect a double-digit percentage upward growth trajectory in each of the second and third quarters of 2025 for our water infrastructure segment, driving towards year-over-year growth of 15% to 25% for the segment overall in 2025. As we continue to commercialize the new facilities over the course of the year, we also believe there remains capacity utilization enhancement that can drive further upside in 2026, alongside new contract wins or other strategic enhancement. Looking at our other segments in more detail, in the fourth quarter, the water services segment saw revenues decline by about 10%. Driven primarily by seasonal activity declines. While this was on the better end of our expected revenue guidance, our gross margins before D and A in services during the fourth quarter decreased to 16.4%. A disappointing outcome which we expect to recover from during the first quarter of 2025. We expect a low to mid-single-digit percentage revenue increase in the first quarter for water services with margins recovering back to the 21 to 22% range. Additional margin improvement following later in the year. Switching over to chemical technologies, even with seasonal activity declines in the fourth quarter, this segment saw strong sequential revenue growth of 14% during Q4, driven by continued new product development, key customer wins, and ongoing market share gains. While margins came in lighter than our expectations at 13%, we expect both revenue and margins to continue to improve for this segment in the first quarter and throughout 2025 as increased production volumes drive continued product cost efficiency and improve manufacturing absorption rates across the rest of the year. In the fourth quarter, SG and A modestly increased to $39 million. We expect SG and A to track towards 10 to 11% of revenue in both the first quarter and full year 2025, as the business mix shifts to an increased weighting to higher margin revenue streams. Altogether, we saw consolidated adjusted EBITDA of $56 million during the fourth quarter of 2024. A bit below our expectations, largely resulting from higher cost impacts within our water services and chemical technology segments. For the first quarter of 2025, we expect an uplift in consolidated adjusted EBITDA to $60 to $64 million, as customer activity gradually ramps across the quarter from low fourth quarter activity levels. While this is below where we would like to have been, given the accelerated growth trajectory we expect in water infrastructure starting in Q2, the anticipated margin improvement in our services and chemical segments we firmly expect another year of record adjusted EBITDA with our second half of 2025 exit rate positioning 2026 for another record year thereafter. Looking below the line, we anticipate cash tax payments in 2025 to be relatively modest at $5 to $10 million, including state taxes, and our book tax expense percentage applied to pretax operating income to likely stay in the low 20% range. I expect depreciation, amortization, and accretion will continue in the low $40 million range quarterly, modestly increased from recent acquisitions and continued capital investment. Additionally, quarterly interest expense should increase to $4 to $5 million per quarter in support of the funded term loan component we added to our debt structure with the recently announced sustainability-linked credit facility. With fourth quarter net CapEx of $52 million, we finished the year at $157 million of net CapEx. Below our previous guidance of $170 to $190 million. The bulk of this reduction represented a mere timing impact of ongoing project spend, which should carry over into 2025. We are entering the year with a healthy ongoing project backlog and additional development opportunity related to the recent acquisitions and contracts. Currently, we expect $170 to $190 million in net CapEx in 2025. We anticipate $50 to $60 million of this CapEx going towards ongoing maintenance and margin improvement initiatives. The remaining largest component of this overall spend is for growth CapEx. It is heavily weighted towards infrastructure growth projects. To fund these water infrastructure investments, alongside our ongoing capital returns, our Water Services and Chemical Technologies segments each provide strong cash flow at low capital intensity. Returning 70 to 80% of profits in cash flows after CapEx as John noted. Additionally, we anticipate generating $10 to $20 million of net proceeds from asset sales to net against this gross CapEx spend during the year. As we've outlined, we expect to see stronger year-over-year growth in adjusted EBITDA in 2025, should convert 30% of those dollars into free cash flow from operations after CapEx on a consolidated basis. This should provide us with good optionality to continue to evaluate further enhancements to our shareholder return program and more importantly, continue to invest in the business. As we think about our overall capital allocation framework, we continue to prioritize adding long-term contracts, production-weighted revenues, and generally finding ways we can enhance a base load of stability long-term to our diversified water solutions platform. Accordingly, I'm very excited about our most recent investment in a very unique portfolio of water rights in Colorado for long-term municipal, industrial, or agricultural development. These water rights and the anticipated projects we can develop over time should provide a great way to enhance the stability of our business long-term through repeatable, predictable, and perpetual growth. While initially structured for Select as a minority investment, whereby we own 35% of the limited partnership, 25% of the general partnership. As we find opportunities to contract these water and storage rights, Select has the exclusive rights to invest up to another approximately $84 million in the partnership over the next three years, the accumulation of additional water rights, and build out of additional infrastructure. In doing so, we would anticipate transitioning to a majority 56 plus percent ownership position over time. And eventually operating these assets long-term. While it will take some time for this investment to translate to realized earnings, we believe the partnership could generate $20 to $30 million of consolidated annual net income out of initial anchor contract underwriting. With longer-term earnings potential that's more than double that upon full commercialization and rate realization. Because we expect this asset will be primarily underpinned by municipal customers with structured offtake and ratable pricing escalators, the long-term risk profile and anticipated volatility of these assets are expected to be very low. Which should provide very high quality, repeatable, and predictable cash flows that can be financed efficiently used to fund additional long-term growth, or return to shareholders over time. We believe there are many more opportunities for Select to utilize the strengths of our integrated water and chemical expertise in new and creative ways and I'm excited to jump-start that initiative with this initial investment. In summary, 2024 was a great year for Select. As we hit a number of key milestones, advanced our strategic initiatives, and improved our overall financial performance. While the first half of 2025 may start out of the gates a bit slower than we would have liked to have seen, more importantly, I believe with our continued organic infrastructure investments, M&A execution, and enhanced balance sheet, we are well-positioned to see a strong pace of growth into the second half of 2025 and we'll continue to capitalize on additional opportunities throughout the year. Ultimately, Select remains distinctively positioned to advance a unique integration of water and chemical technology solutions with high margin long-term contracted infrastructure. I'm excited about the infrastructure-oriented strategy we've undertaken and the incremental value it brings to our customers, our company, and our shareholders. And I look forward to the year ahead. With that, I'll hand it over to the operator for any questions. Operator?
Operator: Thank you. Ladies and gentlemen, we will now begin the question and answer session. You may press star and two if you'd like to remove your question from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. Ladies and gentlemen, we will wait for a moment while we poll for questions. The first question comes from the line of James Rollyson from Raymond James. Please go ahead.
James Rollyson: Hey. Good morning, everyone, and that's a lot of information to unpack, but maybe we could start, John, with the new venture in Colorado. You know, I guess you and I have talked about this kind of potential foray into the municipal side of the business. As a longer-term strategy. So kind of interesting to see that here front and center. But maybe you or Chris could talk a little bit about the kind of timeline of investment cycle there and really the return profile and margin profile of just maybe compared to what you've been doing on the recycling side so we get a little sense of that.
John Schmitz: Sure. So as we said in the beginning, the call, Mike Lyons is in here with us too, Jim. I don't know if you met Mike yet or not, but he's one of the people that's heading up our efforts here as well. But, you know, when we look at it, we think of it as an opportunity to put really high gross margin-related revenue through the company with contracts that could be up to 50 years in length. And these contracts have escalators in them that really use the returns over the course of the contract life. The other way we look at it is it's really when we say repeatable, predictable, it's very predictable and repeatable in the sense that we own the water rights and those water rights are, you know, in nature, just completely repeatable. They don't go away. They're not depleting, and they're river rock water rights and water rights off of land adjacent and storage that we will build off those water rights for, you know, the management of the water as we go forward. But let me open it up and maybe Mike or Chris have some addition to it here.
Chris George: Yeah, Jim. As we think about your kind of specific point around the returns and how that compares to our traditional infrastructure and recycling projects, it's definitely a different type of opportunity. This is really more of a resource development opportunity. So, you know, it does come with what I would say are meaningfully higher margins than our traditional water. It's obviously a large upfront investment, you know, to procure and consolidate those resources together. But that provides, you know, immediate valuation uplift for our investment in the longer term. While the payback might be a little more extended here, as we spend the next couple of years getting these contracts in place, you know, we ultimately think that the overall returns are very competitive if not better than some of our other opportunities here and we're quite comfortable making the investment and frankly, the long-term stability and predictability of it. Like John said, create a very different tenure and profile to this opportunity. Mike, anything else to add?
Mike Lyons: Yeah. I'll maybe just add. I mean, the big operating model change here is this position select to truly be a land and resource owner. These are very senior water rights with broad reach across the state, either through exchange programs or, you know, physical canal connectivity. So this is a scarce resource that is in very high demand across the state. And we're looking to partner with those who need it most. And I think as Chris was saying, the asset is really up into the right because we see even demand in excess of 50,000 acre-feet of water just in the immediate vicinity that we can go get. Which is, you know, many multiples the size of even this water asset that we are consolidating here. And this is one of the largest holdings now in Colorado. Once consolidated, I think this puts us in a great position to partner with the local communities, with local businesses, create jobs, and I think, you know, the economics behind it, as Chris said, are very competitive.
James Rollyson: Man, that sounds certainly appealing in the long-term nature of this coming from you guys from having an oilfield background is probably a welcome change. Maybe shifting gears for a follow-up Chris, just if you look, you know, obviously, there's a little bit of puts and takes on water infrastructure from a short-term perspective in that your fourth quarter had a little bit of benefit in that business from kind of the timing of taking some facilities offline. That's gonna hit in one Q and then as you kinda laid out, you ramp into the back half of the year. If we think about that 15 to 25% revenue growth and just trying to understand some of the puts and takes here, obviously, whatever that revenue impact is of facilities being offline temporarily through the growth part of that or, you know, expansion, and then as you if you get up to the 20 or 25% end of that full-year growth, where does that put your kind of exit rate, revenue run rate, you know, as I look into going into four Q, I mean, it seems like the math can get you into the, you know, mid-twenties or higher percentage year-over-year growth on time you're in four Q over this year's or 2024 four Q. Is that in the right ZIP code or maybe how you a little color on how about that.
Chris George: Yeah. I mean, certainly, Jim, as we think about the, you know, the full year versus the trajectory across the year, you are gonna exit at a, you know, I would say substantially higher exit rate than we're gonna see in the first half of this year. Now you kinda put that into perspective, I would think that the, you know, third quarter and you'll see a little seasonality always impact the business, but the third quarter and the second half, you know, run rate should be, you know, something that approaches, you know, 50% or, you know, even double the kind of growth percentage rate that you'll expect to see on a full-year basis. So your revenue trajectory and profitability trajectory heading into 2026, inherently, absent incremental investment should provide good continued uplifting growth into, you know, into next year. And we would expect to continue to find opportunities to invest over the course of this year that helps support that.
James Rollyson: Got it. And then just if I could sneak one little thing in here, you mentioned in the prepared remarks in the press release, you know, at or above 50% margins, 1Q obviously impacted by those facilities being offline. But is there any reason to think that this kind of, you know, mid-fifty plus range you've been over the last couple of quarters doesn't kick back in once you're kind of normalized in the second through the fourth quarters?
Chris George: I mean, I think, Jim, we've been quite pleased to have gotten to, you know, to those kinds of levels here, you know, we certainly got to that 50 plus percent ahead of schedule. We probably got higher than we, you know, thought we might be able to do over the course of 2024 as well. So, you know, we're quite comfortable with our ability to maintain, you know, margins in that 50 to 60% range. As we continue to bring new investments online, there's always a little bit of time to work through the, you know, the operational efficiency of those assets. But certainly, as we, you know, look forward, we expect to maintain, you know, margins in that overall 50 to 60% range. And, you know, I think we've been positively performing to the upside there, and we were able to maintain 55% in the fourth quarter even with some of that revenue softness. So, you know, near term, maybe a little, you know, lower than that as we get these new assets, you know, brought online and work through that initial, you know, efficiency piece, but I think that we're underwriting, you know, well within that range and have the opportunity to continue to maintain or grow that.
James Rollyson: Appreciate that. Opportunity sounds exciting, guys.
Garrett Williams: Thanks, Jim. The next question comes from the line of Bobby Brooks from Northland Capital Markets. Please go ahead.
Bobby Brooks: Hey, good morning, guys. Thanks for taking my question. I wanna continue on with the Colorado piece. I think that was really interesting and exciting news. Obviously, also, there's kind of a lot of questions that come up with it. So I guess just maybe starting off, could you just help me piece together kinda what you guys are bringing to the table? It seems like you're actually supplying some fresh water. Obviously, you're also bringing your expertise dealing with water. But what are you guys really bringing to the table here and maybe what are the partners bringing?
Chris George: Yeah. Sure thing. So as we mentioned, I mean, we've been active in this space for more than 15 years. We've operated in and around Colorado for a large majority of that time. So we bring everything from automation, managing canal movements, you know, head gate management, ditch management. So I think we're definitely bringing the operator skill set to this. I think in addition, I think we'd be remiss not to recognize along those 15 years, I mean, we have built and managed very large freshwater resources and commercialized them for our oil and gas customers very successfully. And we continue to do so in many of the other basins that are still predominantly freshwater. So from a day-to-day feel, this is very much our normal operations. I think it's just taking it and expanding it into some higher value markets. The other folks that we are partnered with, I think, bring similar expertise and also brought access to these very unique entities that bring extremely senior water rights, as I mentioned, with very broad reach, existing storage assets of large-scale reservoirs and options to further build thousands of acres of physical land and real property, that I would mention also has very good access to power infrastructure as well. As you think about some of the customers we're targeting, you know, data centers and other customers like that are absolutely on the list. So really, this is in summary, it's just leveraging our existing capabilities and some key strategic partners to unlock new water and new value.
Bobby Brooks: Got it. That's excellent color. And so maybe could you just talk about, like so you've been in and around Colorado doing stuff with water for 15 years. Could you maybe just talk about, like, how did this opportunity really develop? Was it an outbound with your team kinda having a conversation? Hey. We think there's an opportunity to consolidate some assets here and kinda diversify the revenues, or was this kind of an inbound deal? I'm just kinda curious how it developed.
Chris George: Yeah, Bobby. Maybe to start, you know, obviously, as we continue to look to build out the overall strategy, we've had a focus on what might be opportunities that make sense to take our current capabilities, our current expertise, and how do we deploy that expertise into some direct diversification strategies. So this, you know, this kind of opportunity has always been on the tables of potential future horizons, you know, step out as we build out the infrastructure strategy overall. So, you know, it's certainly kind of been part of the thought process, and we've had ongoing dialogues, relationship development, work over the last couple of years. But, Mike, you wanna speak to this one more specifically?
Mike Lyons: Yeah. I think, you know, as a part of our core business, we're always asking what else and what next. So I think this largely answers that. And, you know, as I said, our core operations, especially in Colorado, I mean, we feel the water scarcity in that market every day. Like, we already own water rights, own wells, operate wells, own storage, I mean, we're in that market every day. And when you look at the forecasted demand, you know, you talk to municipalities, you talk to industrial customers, all looking to source water, you realize that doing it successfully and at a large scale is just quite challenging. So I think what we saw here was a very, very unique asset that largely hadn't touched those markets. And so I think through the combination of, you know, the skill sets of our partners, of Select, we're able to bring, again, bring this new water to new customers and, you know, ultimately, we've been looking and will continue to look across all of the freshwater assets that we hold to see if there are additional pathways to new growth as well in other basins and other geographies.
Chris George: And, you know, one thing to add, Bobby, when you think about how water resources are managed and regulated and permitted, it's a very localized market, you know, state by state and, in region by region. And so a lot of those, you know, those experiences we have in terms of managing water resources, you know, overlap with other demand applications for water like these municipal agricultural, you know, type of applications. And so we're, you know, oftentimes, historically, you know, working through our own water rights permitting and seniority through some of these other areas. So in doing so, you know, we've got a lot of relationships and experience and application around how our water rights translate across the space. And what other rights are out there that we might be able to utilize or develop on our own.
Bobby Brooks: Awesome. That's terrific, Colin. Then maybe just one last one for more on the base business. So chemical technologies, nicest sequential step up. And you guys see some nice growth there in one Q with the guidance that you've given. You guys have called out new product initiatives driving market share gains. So I just wanted to dive a little deeper there. You know, where are you running market share and why and from who?
Chris George: Yeah. No. It's a good question. We certainly have seen quite a bit of progress, you know, over recent months and, you know, in the back half of the year. You know, we certainly saw a little bit of dislocation in our chemicals business over the course of 2024, but it really started to ramp back up in the back half of the year as some of our new product development really took hold in the latter part of 2024. You know, as the market ebbs and flows, you know, we've certainly seen more, I would say, pressure on the completions market space around some of the, you know, the pressure pumping relationships. You know, it's definitely been a lower activity environment, but as we continue to translate our expertise around chemistry and around water to relation, you know, it's translated to opportunities to solve the problems that we face, particularly as we push more towards produced water reuse and recycling. The products, you know, that are required for those solutions, you know, win more towards specialty application of chemistry. They win more towards developing new and creative ways to, you know, to apply new products to, you know, to those recycled barrels. So that's been a key focus for us as we continue to advance our recycling strategy as well. So that's been the focus. But as we look forward, I mean, we certainly see strong, you know, I think growth recovering in that business and the margins improving as we continue to ramp up the production through our manufacturing facilities and see those share gains. But, John, you want to add anything there?
John Schmitz: Yeah. I would point out that, you know, a big portion of that business comes out of the Permian Basin. We have the only in-base reactive chemistry plant there. What's become very important and continues to be important is as we came off of freshwaters and onto produced waters, the matching of that chemistry to that water has become very important. And that's staying in front of it, you know, with new formulas and new methods in which we apply. The other thing that's become very apparent is chemistry is getting affected by the laterals. So the longer laterals, the different kind of makeup of chemistry matched to that water, is becoming more and more important. And we have developed really direct relationships with the operators, the people drilling these long laterals and producing these wells, fracking these wells, and whether it's, you know, direct in chemistry that goes through the Frack Horse Park company or direct operator chemistry applications. We're working with the owners of that reservoir rock to how to advance the chemistry to make it do what it's supposed to do in longer laterals. And do it with the dirty water that we're using now to frac with versus fresh.
Bobby Brooks: Yeah. No. That's a great point John raises. The type of chemical product that's required to maximize your productivity out of a well at the end of a four-mile lateral versus the end of a two-mile lateral is a different type of product. It requires a different application of stability to it to get out to that full lateral length. And so that's been one of the key areas that we've been focused on as well as we can continue to extend out these lateral lengths over time. How do you maximize the efficiency of that product? Ensure that you get the same type of benefit at, you know, the end of that four miles that you're looking to get out of that, you know, first or second mile.
Bobby Brooks: Terrific call. I really appreciate it, guys. Then I'll return to the queue. Thank you.
Garrett Williams: Thanks, Bobby.
Operator: Thank you. Next question comes from the line of Jeffrey Robertson from Water Tower Research. Please go ahead.
Jeffrey Robertson: Thank you. Good morning. On the Colorado business, did I hear right that the demand in the vicinity that you can access with this venture is upwards of 50,000 acre-feet?
Mike Lyons: Yeah. Hey, Jeff. This is Mike. Yeah. I mean, this is based on, I mean, demand is higher than that. This is based on us just being in the market and thinking about what our natural market is around the assets where we have, you know, easy accessibility through either physical or other exchange, you know, transfer means. So the answer is yes. That just the demand in the area really dwarfs the size of this asset, and this asset is already one of the larger water holdings in the state, you know, that is not directly owned by a municipality at the moment. So it is.
Jeffrey Robertson: How would you go about increasing beyond the 16,300 feet that this initial business covers to be able to tap into the greater demand that you see?
Mike Lyons: Yeah. I think, you know, looking farther, so the life cycle of this asset initially, we're actually taking advantage of a bunch of unique state programs. So high-efficiency farming, lease follow practices, it allows us to both create jobs and economic value for, you know, local customers, but also to begin to bring some of this water to municipal and customers over time. If you look carefully in these various ditch systems and groundwater rights systems, there are still shares of these three different share types that we own. That, at least in my opinion, over time, we are a natural owner of these shares as well. And can continue to bring them to market. I think having it in a consolidated play with the complementary storage just makes it even higher value to the end customers. So I think it's that coupling of senior water rights, storage assets, physical land, and access to that power and other utility infrastructure that allows this asset even to continue to grow beyond what I would call a pretty conservative underwriting of what we've marked out today and some of the return profiles and potential margin delivery.
Chris George: And Jeff, we're pretty comfortable with the market demand and the total addressable market opportunity here. We've utilized not only our own research but third-party experts in research in this space and in this region to help supplement our underwriting capabilities here. So we're pretty confident in the long-term demand. But to your point, there's definitely an opportunity to continue to add to the scale of the resource over time. Albeit, you know, it takes, you know, the relationships, the effort, and the ability to aggregate into a larger resource that can be supplemented for the size of the contracts that we're talking about.
Jeffrey Robertson: Can you talk a little bit about how long it took to work together with the partners that you have to get you to the point where you are today? And the reason I'm curious is that the ability to use this as some sort of a template in other areas like you spoke about.
Mike Lyons: Yeah. It's a great question. I mean, similar to Select, our partners have been in this basin and in this business around municipal and industrial water for, I would say, 10 to 15, if not 20 years as well. So I think the partnership is very complementary of folks that only do this as their core business. I think these are folks that make markets that routinely buy and sell water shares. And then us, obviously, who own and administer and operate WaterShares. So I think, you know, the deal itself came together fairly naturally, I would say. I mean, there's an understanding and an appreciation of everybody's skills from across the table. And I think that let the deal come together pretty quickly, and I think we'll also get us into the market quickly as we approach customers for LOIs. And eventually, in the coming, you know, two, three years, like, the actual executed signed contracts and the margins starting to show up on the P and L. And honestly, the demand in the market is high, so I'm probably being a little conservative here, but there are folks in ongoing discussions right now who are in desperate need of the water.
Jeffrey Robertson: And you're obviously familiar with a lot of the permitting issues in Colorado. I'm just curious about the regulatory requirements that you have to deal with to get to the point where you have these ultra-long-term municipal contracts.
Mike Lyons: I think so out of the gates, because we are leveraging these state programs, around and obviously, you know, each water share has a different use case attached to it. There's no regulatory or, I would say, water court risk here. We're taking fully the existing shares and putting them to work, and again, I'll highlight that as it's actually a unique capability of this partnership, our ability to work with farmers, with landowners, and put in place this lease follow program. That's not a small lift, but the folks that are in this partnership have done it and know how to do it very well. So this allows us, Jeff, to get out of the gates, with a large chunk of that 16,000 acre-foot holding as available to go to market, and then, of course, over time, we'll continue to monetize that asset, and that gets us towards the higher end of the gross profit targets that Chris had mentioned. I wanna ask John also to chime in on this as he's been very close to this.
John Schmitz: Yeah. Jeff. The one thing that I wanna point out because it's really important. I mean, we've known these people for a while. We do believe that the skill sets complement each other in a meaningful way. But with that, we also wanna point out, you know, we've been in the DJ Basin for more than 15 years. The DJ Basin has been procuring freshwater rights and dealing with regulatory and movement and all the various things you had to do in the same manner for 15 years. I mean, we've been in the DJ Basin since the beginning of really applying fresh water into horsepower and procuring and moving and swapping and doing all the things that this exact project is just in a bigger way and with municipality. We've been doing it.
Jeffrey Robertson: Jeff? Have If I could ask one more just on the base business. Chris, do you have anything in your expectations for margins and infrastructure to reflect the potential for increased utilization on your water assets in some of the gassier areas?
Chris George: Yeah. That's a good question, Jeff. I mean, you know, certainly, you know, as John, you know, spoke to earlier, you know, I think we probably see a fairly steady commodity price environment overall. That said, we do see upside in the gas markets and particularly probably some upside opportunity in the Haynesville. You know, thinking about that Haynesville position, our business is 90% plus weighted to production in the Haynesville. We built a very strong, you know, market-leading, you know, infrastructure platform out there with our large pipeline gathering infrastructure. So to the extent we start to see, you know, gas market, you know, upside and opportunity, I think, you know, the first and foremost, it's probably gonna come out of that basin. And we are clearly positioned to capitalize on that with, you know, easily the largest disposal, you know, platform in the Haynesville overall.
Jeffrey Robertson: Thank you for taking my questions.
Garrett Williams: Thank you. Thanks, Jeff.
Operator: Thank you. Next question comes from the line of John Daniel from Daniel Energy.
John Daniel: Hi, guys. Good morning. Thank you for including me. I guess the first one is and not knowing much about municipal or industrial water markets, but is there much in the way of M&A opportunities that you guys could prosecute? To expand?
Chris George: Yeah. I mean, it's a good question, John. You know, I think first and foremost, we'll be focused on a more organic strategy. You know, obviously, through this partnership, we're deploying capital to, you know, to consolidate and to some extent acquire these water resources from, you know, legacy owners of those rights. So part of the play here is effectively an acquisition and consolidation of those legacy rights into a larger, you know, consolidated portfolio that can then be aggregated into the scale of contracts we're talking about. So that, you know, that was a component of the strategy here. So we view this one as more of a resource play. In terms of other opportunities, I mean, we're not looking to get downstream into the municipal markets. We're looking to focus on being a resource owner and an infrastructure provider. So, you know, as we think about acquisitions, you know, these types of opportunities trade at different values than legacy, you know, energy and oil and gas markets do and if we can build our way into those opportunities, I think that should be a great way for us to participate and deploy capital and provide, you know, overall returns that are competitive with our existing business. But can substantially provide, you know, I think enhanced long-term value.
John Daniel: Okay. Thank you. And then just one, going back to the Haynesville. Someone just asked about that. If I'm not mistaken, aren't the rules with, like, water treatment disposal a little bit trickier in Louisiana versus Texas? And if like, what's the opportunity if all of a sudden there's a call on incremental gas drilling and six.
Michael Skarke: In Louisiana. Like, what how much capacity do you have? What are any operators reaching out to you now that sorta get prepared?
Michael Skarke: Yeah, John. This is Michael. So as you know, the rules vary state to state in terms of what you can do in terms of water treatment. The Haynesville is more similar to Texas than it would be to perhaps the Northeast or the Bakken or in Mexico. Where you are more challenged. So I have done water treatment in Haynesville. We could easily ramp that up to support activity. We've built the largest disposal gathering in the network in East Texas, North Louisiana. So we're well-positioned to take advantage of increased activity there. And to the extent that they're able to get the gas out of the Marcellus, we're also very well-positioned there as the largest disposal provider in the Marcellus Utica. Enabled to perform, you know, the largest transfer provider there as well. So we would, you know, welcome the increase in activity from natural from LNG. Associated with natural gas, and I think we're very well-positioned to ramp up and take care of our customers. John, do you wanna add? Sorry. Hey, John.
John Schmitz: One thing that I know you Michael, addressed the recycling, and we've seen some of that in Haynesville. Probably see more of it. He discussed a little bit about our system. Our system is a very unique system. There is different application to rights to dispose of water in Louisiana and Texas. And our system goes across Louisiana, and the best acreage there it comes into Texas into the best disposal capacity in that area in Texas, and we have a unique position of being able to deal with the regulatory authority as it relates to disposal as well.
Michael Skarke: Okay. So maybe to put an example of that, John, we announced that we have 2.5 million acres under dedication. And if you break that down, by region, you know, our largest region is the Permian and the Haynesville. The Permian is fairly obvious given all the deals we've done in the last year and hope we expect to do in the next year. The Haynesville one that might be a bit surprising until you look at the system that we have there. And how you really can't replicate it. And so that's where we're getting a large concentration as well.
John Daniel: But is that how much of that is being piped? Because you know, when you go up there and drive around, you don't see nearly the same number of trucks today as you did a few years back. And, you know, I don't know if that's because the pipe in or just because activity's down. Just any kind of micro question, but just curious.
Michael Skarke: Yeah. Well, the activity is certainly down, so that would be a part of it, but the overwhelming majority of it is pipe for us. I mean, that's really what sets us apart is the pipeline we have that goes into a variety of wells that creates that reliable, predictable offload for the customer. That is in base and reducing their LOE.
Chris George: And, John, when you think about the limitations around new disposal capacity, I mean, there's certainly some states that are gonna be more restrictive than others that you're, you know, probably quite familiar with. But when you think about how you resolve that, you either need to figure out recycling to meet the demand for that disposed barrel through a synthetic disposal application. You need to figure out how to deploy it via long-distance out-of-basin disposal, which is effectively what our, you know, Haynesville system does. Which is take that volume from Louisiana to Texas. Or you need to think about longer-term the transition towards, you know, recycling application for, you know, beneficial reuse. When you're limited in new disposal capacity, I mean, those are really your three options. Without impeding the ability to produce the barrel of oil. So if you're gonna keep the barrel of oil producing or produce more barrels, you gotta figure out to solve it via one of those avenues.
John Daniel: Okay. Thank you for all the good color, and congrats on the continued signing of new contracts.
John Schmitz: Thank you. Sure. Thanks.
Operator: Thank you. Ladies and gentlemen, as there are no further questions, I would now hand the conference over to John Schmitz for his closing comments.
John Schmitz: Yeah. Thanks to everybody for joining the call. And for your interest in learning more about Select Energy Services, Inc. And we look forward to speaking to you again next quarter.
Operator: Thank you.
Garrett Williams: Thank you.
Operator: Ladies and gentlemen, the conference of Select Energy Services, Inc. has now concluded. Thank you for your participation. You may now disconnect your lines.